Operator: Hello, everyone. Welcome to the Travelzoo Second Quarter 2024 Financial Results Conference Call. [Operator Instructions]. Today's call is being recorded. The company would like to remind you that all statements made during the conference call and presented in the slides that are not statements of historical facts constitute forward-looking statements and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results could vary materially from those contained in the forward-looking statements. Factors that could cause actual results to differ materially from those in the forward-looking statements are described in the company's Form 10-K and 10-Q and other SEC filings. Unless required by law, the company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. Please refer to the company's website for important information, including the company's earnings press release issued earlier today. An archived recording of this conference call will be made available on the company's Investor Relations website at travelzoo.com/ir. It is now my pleasure to turn the floor over to Travelzoo, Global CEO, Holger Bartel; and its Finance Director, Lijun Qi. Lijun will start with an overview.
Lijun Qi : Thank you, operator, and welcome to those of you joining us today. Please refer to the management presentation to follow along with our prepared remarks. The presentation in PDF format is available on our Investor Relations site at travelzoo.com/ir. Let's begin with Slide #4. Travelzoo's consolidated Q2 revenue was $21.1 million, consistent with the prior year. In constant currencies, revenue was $21.2 million, up from $21.1 million year-over-year. Operating income, which we, as management, call operating profit increased 23% year-over-year. Q2 operating profit was $4.0 million or 19% of revenue, up from $3.3 million in the prior year. As of June 30, 2024, we had 30.8 million unduplicated members, consistent with June 30, 2023. Slide 5 shows that revenue remained consistent in our North America segment, an increase in our Europe segment. Operating profit turned positive in Europe. On Slide 6, we break down our categories of revenues, advertising, membership fees and other. Advertising revenue was $20.0 million for Q2 2024, consistent year-over-year. Revenue from membership fees increased to $1.2 million. We expect this revenue to grow substantially in 2025 for the following reason. At the beginning of 2024, we introduced a membership fee. Those who already members at the time are exempt from the fee during 2024, but they have to pay in 2025. We call this group Legacy Members, and then they represent over 95% of current members. Slide 7 shows an example of membership fee revenue recognition. Revenue from membership fee is recognized ratably over the period of the subscription. Member acquisition costs, on the other hand, are recognized in full at the time of the expense. On Slide 8, you can see that our GAAP operating margin was 19% in Q2 2024 compared to 15% a year ago. Slide 9 shows that in North America, the GAAP operating margin remained high at 26% for Q2 2024. On Slide 10, we provide information on non-GAAP operating profit as we believe it better explains how Travelzoo's management evaluates financial performance. Q2 2024 non-GAAP operating profit was $4.8 million, that's 23% of revenue compared to non-GAAP operating profit of $4.0 million in the prior year period. Slide 11 provides information about the items that are excluded in the calculation of non-GAAP operating profit. Please turn to Slide 12. We maintained a solid cash position even after repurchasing 800,000 of the company's outstanding common stock. As of June 30, 2024, consolidated cash, cash equivalents and restricted cash was $13.2 million. Slide 13 shows how revenues compared to operating expenses. Most of the company's operating expenses, except for marketing are relatively fixed in the short to midterm, we believe we can keep fixed costs relatively low in the foreseeable future. Higher revenues would just increase operating margins. For Q3 2024, we expect the growth in revenue year-over-year, albeit at a slower pace than in 2023. However, there could be unexpected fluctuations. We also expect for Q3 2024 higher profitability year-over-year. For 2025, we expect substantial growth in revenue as a result of additional revenue from membership fees. Now I turn the discussion over to Holger.
Holger Bartel: Thank you, Lijun. We will continue to leverage Travelzoo's global reach, trusted brand and strong relationships with top travel suppliers to negotiate more exclusive offers for our members. With more than 30 million members, 8 million mobile app users and 4 million social media followers, Travelzoo is loved by travel enthusiasts, who are affluent, active and open to new experiences. Slide 15 provides more information about Travelzoo members. 91% say they are open to new destinations and travel ideas. We are the club of travel enthusiasts. Turning to Slide 17. It provides an overview of management's focus. We are working to convert a large number of legacy members into paying members as of January 1, 2025, add new benefits to make paid membership even more valuable, retain and grow our profitable advertising business from the popular Top 20 product, utilize higher operating margins to increase EPS, Grow Jack's Flight Club's profitable subscription revenue and develop Travelzoo META with discipline. Now I'd like to speak about Travelzoo META. We are working on the production of the first Metaverse travel experiences. They will be browser-enabled and as stated in previous earnings calls, we are conscious of developing Travelzoo META in a financially disciplined way. We will provide additional updates in due time. I'm now handing over to the operator for questions for Holger, Lijun and me.
Operator: [Operator Instructions] Your first question comes from the line of Michael Kupinski with NOBLE Capital Markets.
Michael Kupinski : Just a quick question here regarding your conversion to subscription. Can you just kind of give us some metrics. I know you're talking about substantial growth in 2025. And I was wondering if you can give us some metrics around what your expectations might be, given that you've been testing different marketing events and things like that to gain subscription. I was wondering if you can give us some metrics around your thoughts of 2025. And then how you anticipate the conversion to subscription might effect your advertising and then margins as well?
Holger Bartel: Michael. So on the first question, we are not – we are not making any estimates for how many members will convert in 2025. The reason why we are speaking about substantial revenue growth is you can calculate it yourself for every 100,000 members that convert at a membership fee, which is annually $40, that reflects an incremental $4 million in annual revenue. So that’s just 100,000 of the 30 million converting. Now as I mentioned, at the end, when I spoke about management’s focus, we have a plan for making the transition in a way that it will not affect our advertising business. We are looking to maintain advertising in our popular Top 20, we will share that plan later in for.
Operator: Your next question comes from the line of James Goss with Barrington Research.
James Goss: Just to clarify, Holger, so the Top 20 is not part of the paid for program and that, can I assume that as a source of a lot of the ad dollars?
Holger Bartel: Hi, Jim, Top 20 is the product with which Travelzoo generates indeed the most advertising revenue. And we have over 30 million subscribers to the Top 20. And as I mentioned earlier, yes, Top 20 is, of course, part of your membership, but we are also looking to retain the advertising business in the Top 20.
Operator: Your next question comes from the line of Steve Silver with Argus Research.
Steve Silver: Congratulations on the earnings leverage, both in operating margin, expansion as well as the reduction in the number of shares outstanding. I guess my question is, given the current cash balance with -- even after the repurchases is still within 1 quarter of being net positive when you factor in the merchant payable, I'm just curious as to whether there's any updated thinking in terms of the use of cash or the needed use of cash for investments in new growth initiatives given the fact that really marketing is the only non-fixed component of expenses over the near term?
Holger Bartel: Steve, when it comes to cash, we always very carefully think about where we best use it. To invest it in marketing, to invest it in product, to invest it in acquisitions, to invest it in share repurchases. So it’s a very deliberate decision we make. We have quite a few opportunities and related to our expectation for 2025, when legacy members start having to pay a membership fee, we also expect, as I calculated earlier, we also expect that, that will quite substantially improve our balance sheet and also increase our cash position.
Operator: Your next question comes from the line of Ed Woo with Ascendiant Capital.
Ed Woo : Can you talk about how the summer travel season is progressing? And what is your outlook for -- into the rest of the year in terms of how the travel industry outlook is?
Holger Bartel: Ed, in general, we are seeing in travel, and we’re hearing from our partners a similar story that lots of other companies are hearing. Consumers are becoming more value conscious. They don’t want cheap. They don’t want overpriced. They want to pay a fair price for what is providing excellent value. That’s exactly what Travelzoo does. And there’s no difference between the U.S. and Canada, U.K., Germany and the rest of Europe, we really see the same trend in all the markets. And in the last couple of years, the travel industry has used the opportunity of the pent-up demand to increase prices quite tremendously for airline tickets, hotel rooms from what we are hearing that is coming to an end this year or at least there’s expectations that it could come to an end this year because consumers are looking for more value. And that’s exactly what Travelzoo is doing. And with our move to a paid membership, we are creating a closed user group. And within that closed user group, this is something that’s important for travel suppliers because they would like to offer special deals, discounts, prices, not publicly, but to a limited group of people, and that’s why we are hearing the model of moving to a closed user group is quite attractive for travel suppliers.
Operator: Your next question comes from the line of James Goss with Barrington Research.
James Goss: One more thing. I was wondering about the new initiatives or the new benefits to the paid membership you referred to. Could you give an example or 2 of what sort of things you have in mind that might appeal the new members?
Holger Bartel: Jim, again, you will hear about them over the next few months. It’s not something that we would like to disclose previously here before we actually shared with our members, but we have quite a few things in the work that I think our members will truly love and enjoy for the rest of this year and then in 2025 and beyond.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to Holger Bartel for closing remarks.
Holger Bartel: Thank you, ladies and gentlemen. This concludes our teleconference today. You may disconnect your lines at any time, and we look forward to speaking with you again next quarter. Thank you for your time and support.
Operator: This concludes today's conference call. Thank you for your participation, and you may now disconnect.